Operator: Good morning, and welcome to the United Rentals investor conference call. Please be advised that this call is being recorded. Before we begin, note that the company's press release, comments made on today's call and responses to your questions contain forward-looking statements. The company's business and operations are subject to a variety of risks and uncertainties many of which are beyond its control, and consequently, actual results may differ materially from those projected. A summary of these uncertainties is included in the safe harbor statement contained in the company's press release. For a more complete description of these and other possible risks, please refer to the company's annual report on Form 10-K for the year ended December 31, 2019 as well as to subsequent filings with the SEC. You can access these filings on the company's website at www.unitedrentals.com.  Please note that United Rentals has no obligation and makes no commitment to update or publicly release any revisions to forward-looking statements in order to reflect new information or subsequent events, circumstances or changes in expectations. You should also note that the company's press release and today's call include references to non-GAAP terms, such as free cash flow adjusted EPS, EBITDA and adjusted EBITDA. Please refer to the back of the company's recent investor presentation to see the reconciliation from each non-GAAP financial measure to the most comparable GAAP financial measure.  Speaking today for United Reynolds is Matt Flannery, President and Chief Executive Officer; and Jessica Graziano, Chief Financial Officer. I will now turn the call over to Mr. Flannery. Mr. Flannery, you may begin.
Matthew Flannery: Thank you, operator, and good morning, everyone. Thanks for joining our call. Let's start with full year 2019. It was a solid year of profitable growth for United Rentals, both organically and through the impact of our acquisitions, and we expect to deliver more growth again this year. We're continuing to gain ground in a cycle that's not without its challenges, but one that we think has legs in 2020. And you saw that reflected in the guidance we released yesterday.  In many ways, 2019 was a year of transition for us. Now we've lapped the large acquisitions, and we have a clean slate and a much greater platform for growth. To recap the full year highlights. Both our revenue and earnings were up year-over-year as reported and also pro forma. We delivered record EBITDA of $4.4 billion and a record free cash flow of $1.6 billion.  On the flip side, there were some stubborn headwinds that impacted our numbers. When we look at the fourth quarter specifically, we had some rough spots. We knew rental revenue growth would moderate, but Q4 pro forma growth was lower than expected at around 1%. And some of our costs were higher. This created a drag on our margins.  The single biggest constraint was a slowdown in upstream oil and gas. Within our rental operations, it impacted not just revenue, but also our operating costs. We spoke about this last quarter, and Jeff will discuss the impact in detail, including the expenses we had for repair, maintenance and repositioning of the fleet that we pulled back from the oilfield. We're sending that equipment to other markets where it can generate revenue down the road. We didn't have grand expectations for the upstream market. But frankly, the speed of the decline was a surprise.  We expect the demand to stabilize early this year, although year-over-year, the comps will remain tough for a couple of quarters. If I had to point to 1 metric where we were most disappointed in overall is fleet productivity. Our biggest opportunity to repair productivity in 2020 is with fleet absorption. We have the assets in place and the team is focused on getting excess capacity out on rent in a disciplined manner as activity ramps up.  Based on what we're hearing from our customers and the field organization, we're confident that the demand will be there. On the subject of fleet, I want to take a minute to comment on the CapEx ranges in our guidance. Our plan calls for $1.9 billion to $2.2 billion of gross CapEx this year. The low end of that range represents our expected maintenance CapEx and the top end accommodates growth as the year plays out. This would most likely be used for specialty fleet or equipment for specific projects.  Broadly speaking, the last 3 months have helped confirm both the weakness and the strength we see in the cycle. We had a couple of regions hurt by oil and gas and a couple of others with strong increases in rental revenue, driven by large infrastructure projects and nonres activity. Aside from those, our regions were generally slightly up or slightly down.  Our specialty segment had another strong quarter. Rental revenue from Trench Power and Fluid Solutions combined grew almost 9%, and about half of that was organic. The highest growth came from our Power & HVAC business. This year, we'll continue to invest in specialty with another 25 cold-starts planned across our service offering and that's following 34 we added in 2019. And this will bring our specialty network close to 400 locations by year-end. Our ongoing investments in specialty are part of our broader strategy to differentiate our service offering.  Customers see us as a solutions provider, not just an equipment rental company. In 2019, we made strategic investments in growth initiatives that we believe can be highly accretive long term. And we'll continue to invest in the business this year, even though it may have a short-term impact on our margins.  Now here's where we come out on the landscape looking forward. We believe that our construction markets will continue to grow through 2020, but not at the same rate as 2019. With industrial, our base case assumes more of the same sluggish activity. Our industrial revenue in 2019 was essentially flat with '18. If we exclude the impact of upstream oil and gas, industrial was up 3% for the year.  I can sum up our expectations for this year in 4 words: Slowing but still growing. And this jives with a number of external data points including our most recent customer confidence index. It's at the highest point since August. Construction backlogs are stable. The December ABI came in above 50 again and the CEO confidence remains strong.  The combination of these indicators help shape our outlook. But we're not taking anything for granted. If conditions change, we have a lot of flexibility built into our business model. Our job now is to unlock the value of this big engine we've built. I made that comment on the third quarter call, and it was a theme for our annual management meeting this month.  We had more than 2,000 leaders in Minneapolis to kick off the year. They came away with concrete plans to achieve our goals and a powerful platform to do it with. Not just fleet and branches, but also digital capabilities specialized solutions and most importantly, our talent base. Our people are the #1 reason I can say with confidence. While no company can control the operating environment, we do have the ability to continuously improve our performance from the inside out. That's our mantra. Bigger doesn't really matter unless we're constantly driving for better.  Also, I want to give a shout out to our team on safety performance. They delivered another year with a total recordable rate below 1, despite the noise of the multiple integrations. Finally, I want to speak to our stewardship of United Rentals on behalf of all stakeholders. The priority of our leadership team is to manage the business for the optimal balance of growth, margin, returns and free cash flow.  In 2020, we're looking at another year of profitable growth and strong cash generation. We plan to use that cash in ways that will benefit our investors. First, we'll continue to invest in strategic initiatives that we believe have long-term accretive value. Second, we're planning to use about $1 billion to pay down debt. And yesterday, we announced a new share repurchase program that will return an estimated $500 million to our investors over the next 12 months.  We have a lot of flexibility in the ways we can serve our stakeholders. The constant is that we're a disciplined, resilient company with a focus on driving returns in any environment. That's what our investors expect, and that's what we'll deliver. With that, I'll ask Jess to walk you through the quarter, and then we'll go to Q&A. So Jess, over to you.
Jessica Graziano: Thanks, Matt, and good morning, everyone. There's a lot to cover this morning, so let's jump right into the fourth quarter results, starting with rental revenue. On an as-reported basis, our rental revenue grew 3.7% or $73 million to just over $2.06 billion. Adjusting for BlueLine on a pro forma basis, rental revenue was up 0.8% for the quarter or about $14 million.  Within rental revenue, as reported OER growth contributed $62 million of the $73 million increase. Ancillary revenue was up about $15 million and re-rent revenue decreased by 4. Here's a breakdown of the $62 million or 3.7% OER growth. We had growth in our fleet of 7.6%, which translates into $127 million of additional revenue. Fleet inflation cost us 1.5% or $25 million and fleet productivity on an as-reported basis was down 2.4% or a decrease of $40 million. I'll mention that year-over-year, fleet productivity on a pro forma basis was down 1.8%. Time utilization remained a headwind in the quarter, and the combined benefit we've had in rate and mix were not enough to offset the impact of lower time. That's rental revenue. Let's move to used sales.  Used sales revenue was up 31% or $58 million year-over-year. That represents $154 million more fleet sold at OEC. The environment continues to be strong with overall proceeds as a percentage of OEC of about 52%. That number climbs to 56%, if I exclude the auction sales we had in Q4. Sales at retail made up over 2/3 of sales in the quarter as we sold 40% more fleet through this healthy retail channel versus last year.  Adjusted gross margin on used sales in the quarter was 43%, down from 51% in Q4 last year. That decline is mainly due to more auction sales of fleet with high operating hours, including units from the oil patch as well as a 4% decline in retail pricing we experienced, given the increased volume that we sold through that channel in Q4.  Taking a look at EBITDA. Adjusted EBITDA for the quarter was just over $1.15 billion, an increase of $37 million or 3% year-over-year. And here's a breakdown of the as-reported changes. In rental, OER contributed $7 million. Ancillary benefited adjusted EBITDA by $2 million. Re-rent was a decrease of 7. Used sales added $11 million to EBITDA, and better performance in our other lines of business provided $3 million. SG&A helped adjusted EBITDA by $21 million year-over-year. And I'll note there, that includes the impact of debt, and we also recognized about $6 million in synergies year-over-year from the BlueLine stub period.  Our adjusted EBITDA margin was 47%, which is down 140 basis points year-over-year. Adjusted EBITDA flow-through was approximately 25%. Both margin and flow-through were impacted this quarter by a number of dynamics. First, and most importantly, was the slower rate of growth realized in the fourth quarter in large part due to the decline in the upstream end markets. As we've said before, our ability to reach our targeted levels of flow through requires a combination of positive fleet productivity in revenue and cost productivity gains.  At 0.8% pro forma rental revenue growth, which includes negative fleet productivity, the margin and flow-through were challenged, given slow growth in the quarter and our maintaining a cost structure that supports the capacity we expect to need to service growth in 2020. We also continued to make investments in growth initiatives that will drive value in the future.  Second, our cost base was stressed by repair and repositioning costs coming out of continued declines in the upstream markets. I mentioned in the third quarter call that some of those additional costs would play out through the fourth quarter, and they did at around $8 million. Line of business mix was another headwind in flow-through. The fourth quarter included a sizable increase in used equipment sales as well as growth in our nonrental lines of business, all of which are dilutive to margin and flow-through this period.  A comment on adjusted EPS. We delivered a strong $5.60 in the quarter compared with $4.85 in Q4 of 2018. That's an increase of 15%, primarily from better operating performance, lower shares outstanding and tax benefits that we recognized in Q4.  Let's move to CapEx and free cash flow. For the full year, we brought in $2.13 billion in gross CapEx, with $158 million of that having come in during the fourth quarter. Excluding $831 million in proceeds from used sales, net rental CapEx for 2019 was $1.3 billion. We generated robust free cash flow in 2019, about $1.6 billion for the year or an increase of $258 million from 2018. That's up over 19% and adds back about $26 million in merger and restructuring payments we made last year.  Our tax adjusted ROIC remains strong, coming in at 10.4% for the fourth quarter. That continues to meaningfully exceed our weighted average cost of capital, which currently runs south of 8%. Year-over-year, tax adjusted ROIC was down 60 basis points, due in part to the decline in margin this quarter and, to a lesser extent, as a result of the expected drag from our acquisitions.  Looking at the balance sheet. Net debt at December 31 was $11.4 billion, which is $300 million lower than last year. Leverage at the end of the year was 2.6x, that's down 10 basis points from the end of the third quarter and down 50 basis points for the full year. And a quick comment on liquidity, which at year-end was a very strong $2.14 billion, comprised mainly of ABL capacity.  A few comments on capital allocation and our share repurchase programs. We completed our $1.25 billion repurchase program, purchasing $200 million of stock in the fourth quarter. Our 2019 purchases under that program reduced the total share count by about 7%. As Matt mentioned, we will prioritize the use of our excess free cash flow towards reducing leverage in 2020. We're targeting $1 billion towards debt reduction this year, and I'll speak to guidance in a minute. But based on the strength of the free cash flow we expect to generate this year, we also expect to return additional cash to shareholders through a new $500 million share repurchase program that will complete over the next 12 months.  I'll wrap up with a few comments on guidance. Our 2020 outlook was included in our release last night. First, we expect 2020 will be another year of growth in this cycle, albeit slower growth. Our guidance for low single-digit growth in total revenue assumes continued support from our construction end markets as well as certain industrial verticals while working through tough comps from oil and gas in the first half of the year.  We're focused on increasing fleet productivity and our plan sees positive fleet productivity for the full year. But to be clear, we'll likely continue to see some challenges in a seasonally slower Q1, closely managing our CapEx as we continue to reposition fleet in advance of the busier start of the season in Q2.  We expect to sell more used equipment in 2020 as we leverage what is still a strong used market. And we'll keep our fleet refreshed with approximately $1.9 billion of inflation-adjusted replacement CapEx. That's at the bottom end of our growth CapEx range. We'll add growth capital in 2020, primarily in support of our specialty businesses, but we'll look to adjust CapEx accordingly as we monitor demand and look first to utilize the fleet we already have in the field.  Our outlook includes low single-digit growth for adjusted EBITDA as well this year. Cost management remains a focus for us, and it's balanced with continued investment in areas we know will generate better customer service and shareholder value over the longer term, like in our specialty cold-starts, the build-out of our services businesses and our digital platforms.  Finally, while we continue to invest in growth, we'll also generate higher free cash flow this year, the majority of it earmarked for debt reduction and the new share repurchase program. So with that, let's move on to your questions. Operator, would you please open the line.
Operator: [Operator Instructions]. Our first question comes from the line of David Raso from Evercore ISI.
David Raso: I think the [indiscernible] is the fleet productivity for '20. The credibility of the guide that it can be positive. Jess, can you least take us through a little bit the thoughts on cadence. You mentioned at the early part of the year, it's still a struggle of productivity and it seems that the key metric really is the fleet utilization within that productivity number. Can you give us some sense, do you expect fleet productivity to be positive year-over-year as early as 2Q? Or is it more 3Q? Just some sense of what kind of ramp do we need to see. And then really, particularly in fleet utilization to give us confidence fleet productivity can be positive for the year.
Matthew Flannery: David, good question. This is Matt. I would say we're no better at predicting fleet productivity than we were late [indiscernible] time, to be frank. But when we do have a lot more, right, three levers combined in the two, in the one versus the two and then mix. So we think that we've been very explicit that fleet absorption is going to be the greatest opportunity. The only reason why we're talking about that it will take some time is because it's not going to be a light switch. But we think the combination of our rigorous management of it, some easier comps, quite frankly, as we get through the back half of the year is going to make it accelerate. But I wouldn't necessarily take that at Q1 or Q2 as positive or negative. Just that we feel it will improve throughout the year. We do feel -- I mean, if this guidance holds up, these end markets hold up, everything that we firmly believe in, it implies fleet productivity being positive. It almost have to. So we do we do feel firm on that.
David Raso: Would you say it'd be fair, Matt, to say that CapEx, especially the cadence, no less, if the fleet productivity is proving to be challenging as you get further into 1Q into the key spring selling season. You will look back -- look to -- sorry, pull back on the net CapEx because that's more of the focus this year is making sure that the utilization improves?
Matthew Flannery: Absolutely great. That's an absolutely accurate and great point, and that's why you see a broader range this year in CapEx guidance than we normally have because where we end up in that range. Obviously, demand will play a part in it. But this year, specifically, absorption will play a part and how well we do in absorbing the fleet. So that's why you see that broader range. So that's the right way to think about.
David Raso: And I guess my last question, I mean, what we can debate the credibility can get fleet productivity to be positive. But if you believe you can, the incremental EBITDA margins for the year seem very low. I mean, you basically have 38% incremental EBITDA margins and if fleet utilization is getting close to flat to allow fleet productivity to be positive? I'm struggling with so many costs in 2019, right, $12 million in the last quarter alone on oil and gas, $8 million now in the fourth quarter, oil and gas hit. I mean, that's $20 million of costs you would think wouldn't repeat. And if you pull that out of the guidance, I mean, you're talking about almost no EBITDA incremental on the revenue growth. So I'm just trying to square up, if you really believe you can get fleet productivity positive, why would the incrementals with all those costs not repeating be this week?
Matthew Flannery: So I'll -- Jess, I think, did a great job breaking down some of the issues in her prepared remarks, and I'd love Jess to comment in a minute, but I would -- the most obvious ones to slow growth, right? So it's just having to absorb both the natural inflation of the business when you're in a low single-digit environment, but also some of the choices we're making to continue to lean in to making sure we're building out capacity for some of our other initiatives. If we were managing for a quarter, maybe you wouldn't make those investments. We're certainly not or we don't think anybody want us to so it's just a little bit of headwind from those two, but slow growth is the main driver. Jess, I don't know if you want to add any more color.
Jessica Graziano: Yes. I think the only thing I'd add is that there's really two other dynamics that are playing through. One is those comps in the first half for upstream, right? We really -- we saw in 2019 that the rig count in the upstream business really started to decline in the third quarter of '19, right? So we need to comp that through the first half. The other thing is we're going to continue to make the investments that I mentioned, right, continue to build out some of our services business that frankly, come in with lower margins. They're not as asset intensive, so the returns are really good in those lines. But in building those up off of a low base, right, there's going to be some investment that we're going to continue to make in building those businesses out. The other is continuing to invest in cold-starts that also need time to build up and build out and some of the digital capabilities that we're going to continue to grow and lean into in 2020.
Operator: Our next question comes from the line of Seth Weber from RBC Capital Markets.
Seth Weber: Two questions. I guess, can you just talk about what your assumptions are for disposing of used equipment in 2020. Do you expect to continue to use the auction channel as much as you did in 2019 -- here at the end '19? And then my follow-up question is just on these oil and gas markets, the energy markets, are you seeing any kind of knock-on effect as of this point in more traditional construction equipment?
Matthew Flannery: No problem, Seth. So first answer for the auctions. No, we think this year, with all this fleet that we're pulling out of the oil and gas and some of the excess capacity we had through the BlueLine acquisition. We had more than our usual by quite a bit of really tired old fleet, and it was just the appropriate decision. I probably did 4 or 5x more the options we have in any other year we have but we're not going to sell that type of fleet to our customers. It's just -- we're just not going to do that. I think the good news is that -- and Jess pointed to this in her prepared remarks, the end market for used equipment retail was really strong. And so we'll continue to push that lever. We think that's a unique strategy that separates us and our returns and our ability to get the high proceeds per CapEx dollar per OEC dollar. And we'll continue to focus on that. The only thing we'll send to auctions are stuff that we're just not going to sell to our customers.  On the oil and gas, we're not really seeing a knock-on effect broadly, like you may have in 15 because all that infrastructure was already built around it. What we are seeing, though, is that 31% drop in Q4, brought us to a 16% drop in upstream oil and gas full year. That was significant. And you saw a little bit of that drag on midstream as well. Those are the 2 areas that frankly surprised us at the -- how fast they decelerated. Within our embedded guidance, we're thinking of maybe another 10% drop in the year. So we're not counting on oil and gas to recover and we don't feel there's going to be any broad knock-on effect as a result.
Seth Weber: And do you feel like you've finish the moves and the relocation of the fleet out of those markets at this point? Or is there still more equipment that needs to come out? I mean, do you -- can you just -- can you characterize your utilization levels in the energy markets relative to where you want them to be?
Matthew Flannery: Yes. So if you think about the cadence of $12 million in Q3, $8 million in Q4, I think that cadence will continue. We don't expect to see a big drag probably -- hopefully, one that we wouldn't even call out in Q1. Now to be fair, if it drops a lot more than 10%. I mean, it's only 3.7% of our business right now. So we think we're appropriately sized there. If you take 10% off of that, that's still not a big number. And then the repairs on that shouldn't need to be a call out. The only reason you hear me say caveat is because I didn't expect it in Q4. But we don't really expect to have a big number in 2020 for repair and repositioning in oil and gas.
Operator: Our next question comes from the line of Rob Wartheimer from Melius.
Robert Wertheimer: Can I just ask a similar question, a little bit bigger picture versus what has been asked already. I mean, if you look at our EBITDA margins over the past 4, 5 years, and they're higher than today and you've absorbed, obviously, a tremendous amount of growth. And some asset mix changes too, I guess, [indiscernible] and other things. So leaving aside the vagaries of this year, do you believe you're intrinsic EBITDA margin potential is higher than today? Or is this the right level and you grow by capital redeployment from here?
Matthew Flannery: Sure, Rob. I think it's a great point. It really depends on how fast some of our other businesses grow. Generally, we feel like this is a kind of EBITDA margin we can continue to drive longer-term and maybe even improve upon as we get some of these lower-margin businesses that we bought over the years to improve. I would say that the only thing that we're really focused on is as we build out these service businesses, there's not -- they're very asset light. So there's not a lot of -- it's not as high an EBITDA margin, but really good returns. I think it's too early for us to worry about that now, but I'm just -- as I'm projecting, to your point, a higher thinking longer-term question. EBITDA margin could dilute and returns could be higher, theoretically. This depends on how fast we grow some of these asset-light and service businesses, but we're going to be in this ballpark, we feel around this area for a while.
Robert Wertheimer: And then just -- we've chatted about this in the past, but how long does it take to get BlueLine fully up and operational at sort of your eye levels? Is it a year, two years, three or four years you're still seeing benefits? Like how do you think about that?
Matthew Flannery: So I think that all the sales challenges and repairs are pretty much done external facing. And that's what I meant when I say clean slate. So I think as we get through the seasonal build this year, get past some of the comps that Jess has been talking about for the first half of the year on oil and gas. I think we're in pretty good shape. As an organization, including the themes that came from blue one. When you're thinking about some of the legacy acquired shops. I'll point to -- I think we played a video a couple of years ago at Investor Day, where we had the branch manager from Boston. Did a real good job talking about year 1. They were just drinking from a fire hose and all the new tools. In year 2, they really started to comprehend how to utilize them. And then in that third year is where they ramp up. So if I take that -- I take the BlueLine maybe they're a little bigger company, maybe they're even faster than learners. But I think that when we really think about the full maturity of productivity out of those acquired stores. Sometime in the back half of this year, '21. I don't know when exactly. I think they're really catching on to the tools and being able to focus on utilizing them at scale, which is really the difference that we've done here in our legacy United stores. The scale is new to a lot of folks outside of our company.
Operator: Our next question comes from the line of Joe O'Dea from Vertical Research.
Joseph O'Dea: First question is just on CapEx and implied growth range of flat to up $300 million. It seems like based on the specialty growth targets that you revised recently, you should be at least at the midpoint of that, if not higher. And so I don't know if it implies that the gen rent fleet, if anything could even shrink this year. And so just how you're thinking about that path of specialty growth and then maybe what's implied in terms of gen rent fleet thinking?
Matthew Flannery: Sure. So as I had answered -- I think it was David who asked the question first. We're going to -- where we end up in that range depends on how fast we absorb. And that absorption is really primarily in the gen rent business. So you're active -- we are going to fund our specialty growth. When I think about -- at the midpoint, that's probably in the range of between the cold-starts and the organic growth that we're driving through the specialty team will need to fund over and above the replacement CapEx. So we're not really guiding to that we will shrink generate. Unless all of the demand can be filled with the latent capacity. We're not betting on that. We're not even hoping for that, but it is a fair observation. So I don't think that, that 1 9 -- if we have to use some of that 1.9 because we're not absorbing as fast to buy some specialty assets, that is what we will do.
Joseph O'Dea: And then on the time side of things, just trying to understand a little bit better why that's surprised in the quarter. A lot of attention on oil and gas. I mean, was it all oil and gas? Or were there other things that you saw develop over the course of the quarter that wound up shaking out just a little bit differently from what you anticipated in, say, end of October?
Matthew Flannery: Yes. So oil and gas is certainly a big driver. But to your point, the back half of Q4, what we've called -- lovingly called the Turkey drop. For my 29 years, I never get used to how much we drop that Thanksgiving. A little bit steeper than we usually do. That was transient. We feel comfortable that repairs as we sit here and guide here as today. We obviously feel comfortable that, that will repair. And that was -- those were the 2 major contributors. What we're encouraged about is that you see that the OEMs backlog seems to be that the industry is responding to that little bit of a slower growth. So think about everybody's been building their fleets for this high single digit, double-digit growth. It's appropriate for people to take a pause and absorb. So that really shows me good discipline from the industry overall, and I think that's a big part of the confidence we have that we'll be able to repair the time utilization in 2020.
Joseph O'Dea: And that's -- just a question on the fleet productivity because my impression from your comments there is that it wasn't a matter of you might have been a little bit more disciplined on the rate side of things and suffered on the utilization side of things but the industry at large would probably be trending with the kind of rate experience that you had.
Matthew Flannery: I don't really know. I can't -- I don't want to say that because we don't know that answer what the industry is doing. What I can say and thanks for giving me the opportunity to reiterate. Our opportunity to drive time utilization is because we're going to drive it through 1 or 2 ways: More fleet on rent or better discipline on the inflow. It's not because we're, if any change in strategy that we're going to trade-off any kind of rate to get higher time utilization. That is not the goal at all. We think it's important to continue to have rigorous rate management to go forward as we absorb inflation. So I think this is just more about as the growth decelerates to lower single to mid-single digits. It's just appropriate that, that pace the industry paces. And I think that's what I was referring to the backlogs that you're seeing from the OEMs being down year-over-year is a good response.
Operator: Our next question comes from the line of Jerry Revich from Goldman Sachs.
Jerry Revich: I'm wondering if we could just expand on the specialty discussion. At the specialty day, I think we spoke about 32 cold-starts plant for '20, which if we look at the midpoint of the CapEx guidance range, the entirety of $300 million of growth CapEx would be accounted for by specialty. So I just want to make sure that we have those pieces right. And if there are any other moving pieces we should keep in mind relative to what we spoke about at the specialty day. Would love an update.
Matthew Flannery: Yes. So glad you viewed that. I heard that was very widely and broadly enjoyed from the investment community. And Paul and the team did a good job. I would say we've got that number right now, take, for $25 whether it's accelerates, we'll have a lot to do with -- actually, CapEx will be the last part of the decision we are we getting the facilities of people that we need to accelerate it to maybe a goal of above 30, as we did, frankly, in '19, we increased the amount from what we originally thought. So this is no change in the overall strategy. But just to be clear, the number that we're focused on right now is 25 cold-starts planned for '20, and that may lessen that CapEx need more to the $200 million range as the way we're thinking about it right now. That will be prioritized because, as I said in my prepared remarks, this is a differentiator for us. And solving more customers' problems, we think, is a real part of why people do business with United Rentals. So no change in strategy, just numerically might be a little bit less than what you may remember from the specialty day.
Jerry Revich: Okay. And then as you folks have used more and more data analytics. A, can you just talk about the decision for CapEx for '19 to come in at the high end of the prior guidance range because if we have CapEx at the low end of the guidance range, time -- you would be 50, 60 basis points stronger and obviously, you folks made those decisions in the field on a case-by-case basis. But any comments that you can make and I appreciate the seasonality comment post Thanksgiving. But any additional context because given the time you pressure, I guess, we would have thought CapEx would be at the low end of the guide.
Matthew Flannery: Yes. So unfortunately, and we joke about this internally a little bit. I can't cut up a 60-foot boom and create generators and light towers. I will tell you that when we look at the fourth quarter CapEx, which we manage very tightly we had a significant amount, almost 25% of that was just our HVAC assets. So between leaders, temporary power, stuff like that. So that probably would be in the range of -- with the math that said $50 million, $100 million less, if it was just -- if we weren't bringing in assets that where we had some time utilization opportunity. It was more -- the mix of assets that we're bringing from -- for different businesses and to support. As to your question earlier, our specialty growth and some seasonal items as well.
Jerry Revich: Okay. And lastly, on the cadence, as we look at the time you in the second quarter of '19, it was, call it, 150 basis points lower than normal seasonality versus the first quarter. So it does look like you could potentially turn the corner for fleet productivity in the second quarter of '20. I just want to make sure we're not up over our skis with that thought process. Any comments that you can share on that?
Matthew Flannery: No. I think you're directionally correct, how the mix comes in, right? We talk a lot about time the mix will be a component of it as well. But as long as we do think that we have that opportunity and we think our guys kind of embeds that. But as I've talked about, I think it was a question that we had earlier on. We -- regardless of where the number is. We do believe that we expect it will accelerate throughout the year because of the tough comps you mentioned.
Operator: Our next question comes from the line of Courtney Yakavonis.
Courtney Yakavonis: So do you just back on the comments about oil and gas being down another 10%. Just wanted to clarify that, that is for the full year 29th incremental 10 off of the fourth quarter. And secondly, when you're thinking about the guidance for next year, I know you've talked about kind of this slowing environment, but are there any other end markets, geographies so you are baking into your guidance to be down next year, either for the first half or for the full year?
Matthew Flannery: So first, on the oil and gas, probably flat from year-end. So that 10% would be the deceleration that's already continued. So think about that as a -- it's just the impact full year of that back half of the year declined, right? So not an additional. And then when we're thinking about other end markets. As you heard me say in the opening remarks, the industrial market is a lot of puts and takes, right? We talked a lot about upstream and then even midstream were down. Downstream was great. Downstream was a good guy. Chemical processing was down. Power was up. So there's a lot of puts and takes within it, which is why we're looking at industrial overall is flattish. And embedded in our guidance is that expectation. If something happens in industrial picks up, then that would help push us towards the higher end of the guidance. But we're really relying more on a continued strength, even if it's a little bit slower growth in our -- not in the construction verticals, right, non-res, specifically.
Courtney Yakavonis: Got you. And how would you characterize MRO activities this quarter? I think you've historically talked about close to half of the business in industrial being MRO. Have you seen any impact to that from some of those puts and takes that you mentioned?
Matthew Flannery: Nothing that we can quantify. We certainly have heard some delays from the field team about turnarounds here in Q4. So that could have impacted that sluggish Q4 result. And whether they pick those up in Q1, we're trying to stretch it to Q4 next year, who knows, those are usually time periods when they would do turnarounds. That would be the only MRO thing that was a little bit lagging. We don't think it was structural or continual? Just some push offs that we had seen, specifically in the Gulf Coast.
Courtney Yakavonis: Okay. Great. And then just lastly, on the debt paydown. I think based on your guidance, that should begin you guys close to 2x exiting next year. Just curious how we should be thinking about your targets from there? And whether any of this when you talk about seeing construction markets up at least through 2021. Is any of this kind of planning that you could possibly see some EBITDA declines beyond 2020.
Jessica Graziano: So let me take the first part first. The debt reduction that we have targeted for 2020, that $1 billion, we feel comfortable is going to continue to get us call it, into the middle of the lower half of our range. Looking out to 2021, it's a little too early for that right now. I mean, we've talked about prioritizing, leverage reduction and working towards 2x at the peak. We're going to obviously continue that path in 2021. The quantum of it, I just don't know yet, Courtney. So I don't want to go too far on that. I mean, as far as EBITDA going forward, again, that's 2021 is just a little too far out at this point.
Operator: Our next question comes from the line of Tim Thein from Citigroup.
Timothy Thein: So first question, just on the latent capacity that you've highlighted and the focus on driving absorption how does that -- how should we expect that plays into our deliveries kind of move through the year. I'm just thinking from the standpoint of ending sequentially, I would assume you have a -- we should assume a bigger than normal seasonal decline from where you ended '19. Is that fair? I.e., if you sell more fleet when you bring in?
Matthew Flannery: So when you say deliveries, Tim, I'm assuming you mean CapEx in flow?
Timothy Thein: Yes. Yes.
Matthew Flannery: Yes. So I think you could expect us to see pretty close to a normal cadence. In Q1 will be a little big [ph], but it's a small number, right? So when you're talking about whether it's $50 million or $75 million smaller on a $15 billion base, not meaningful, but technically, a little bit softer in Q1. And then the rest of the cadence and really the meat of our CapEx spend is in that Q2 and the first -- in the beginning of Q3 range, where we really are in the peak build season of our fleet on rent. And that will flex directly correlated to how we end up doing with time utilization, fleet absorption, whatever term you want to utilize. So that's how we're thinking about it. And hopefully, that answers what you were looking for. 
Timothy Thein: Yes, yes. Okay. And then, Matt, just on the kind of the interplay between fleet age and operating costs and R&M costs. There's been a lot of discussion here in the last losing the second half about elevated R&M costs. And I get that a lot of that was moving stuff in and out of the oil and gas regions and reposition our fleet. But at almost 50 months, do you -- does that start to put some pressure on R&M? Or is that -- I mean, I know you sales are up. So presumably, that's someone a response to that. But can you just maybe speak to that just in terms of that interplay?
Matthew Flannery: Yes, on the margin, right? You could pick apart how much of its inflation, how much of it is just fleet age, but it's on the margin. The real opportunity and what you pointed to is that take advantage of a strong used market and a strong retail market to make sure we continue to manage that fleet age. Because when that market is not there, when [indiscernible] there becomes a downturn, we don't know how to predict that. But we're not predicting it certainly for 2020. We're going to need to [indiscernible] and then there may be some trade-off for R&M as you age it a year and you really turn off the inflow for a while. That's when you may see a little bit more of an impact on R&M, but the trade-off between that and having too much fleet and the positive free cash flow. Is the way we plan to think about it long term, which is why it's so important we drive new sales here. So we're not aging the fleet too quickly, while there's still growth to be had.
Timothy Thein: Okay. All right. And then maybe last one, Matt, just on the large project pipeline, what's the feedback in just in terms of the quoting levels and just size of the pipeline in terms of what you're hearing from the national account team, yes, still good. I mean, the team still feels really good, specifically about where we're aligned strongly with our national accounts and our large accounts and large projects, as you know, that's a specialty for us [indiscernible] strong. And probably more importantly, we're not hearing of any cancellations. So that's -- that would be a sign of something different. So we think overall, most of the macro indicators as well as our internal intelligence from our managers and our customers. This is that there's still growth in 2020. So big projects will continue to play a big part of that.
Operator: Our next question comes from the line of Steven Fisher from UBS.
Steven Fisher: Just maybe to follow-up on that last point there. Just curious how much visibility you feel like you have for the business. Matt, as you think about the second half and the growth you forecasted, I'm curious how it compares to that second half visibility that you've had at this point in the year, over the past few years?
Matthew Flannery: So I wouldn't say it's any better or worsen over the past few years. And it's not just from our customers but obviously, from the macro indicators. As we say all the time, we talked about our customer confidence index being higher than it was in August. We think it's turned a little more positive than maybe what it was full year, for our customers and really, for most industries outside of navy and industrial. So we think that's a general indication of 2020. Admittedly, we are skewed by large customers and large projects. So as I was answering Tim's question, I realize the local customers depart where maybe our visibility isn't as low as opposed to larger customers, larger projects, we're just pipeline and the supply chain of what it takes to build these launch projects give you inherently more visibility.
Steven Fisher: Okay. That's helpful. And then for Jess, what's the right way to think about SG&A over the course of 2020? Is it a dollar level? Is it a percent of sales? How much focus do you have on that number?
Jessica Graziano: Yes. The percentage -- that's a great question. The percent of sales is definitely the way I would recommend you think about it. The number might move a little here or there, but it's really -- we're managing it more so from a percent of sales perspective.
Steven Fisher: And what do you think that percent of sales, do you have a target for that? Have you kind of quantify that?
Jessica Graziano: Yes, there's no target per se. We -- as we've recognized the benefit of the synergies from the deals that we've done, right? We're pretty comfortable with the percent that we're running with right now. The biggest mover in that because it is total SG&A is what happens with stock comp. And that's really going to be dictated on whatever happens with the stock price, right? But in terms of the components of SG&A that we're managing, it's the pace that we've got right now is -- we're very comfortable with.
Operator: Our next question comes from the line of Scott Schneeberger from Oppenheimer.
Scott Schneeberger: In specialty, a nice trajectory in gross margin, certainly improving and talking about getting synergies there. As well. But just could, Matt, could you delve into cross-selling, how that's progressing, how you're integrating things like total control and fluid solutions. Perhaps? And can we see perhaps positive gross margins maybe in the back half of 2020 in the special?
Matthew Flannery: Yes, absolutely. And I think also the maturation of what's been a lot of cold-starts for the last few months as well as, as we continue to get the whole fluid solutions team continuing to get momentum from being 2 separate companies, right? Our pump business in Baker and how that continues. Much like I talked about the BlueLine integration, how that matures over time, is another opportunity to get margins up in the specialty business. So we absolutely feel good about that.  And the cross-sell opportunities is, as I said earlier, something that we view as a real differentiator. It's something we spend a lot of time with all of our leaders in Minneapolis and workshops on selling that continued value because we're big believers in it. We expect that to contribute to margin expansion for specialty as well.
Jessica Graziano: So I'll just add one thing there. When you look at the specialty margins, right now, they are burdened by acquisition activity, right? So to the extent that we continue to absorb and leverage the scale and the opportunity in those acquisitions, that's going to help margins over the long-term as well.
Scott Schneeberger: Great. And then as a follow-up, and it's a follow-up to the prior question on SG&A, which you covered pretty well, but I want to delve into bad debt, which you called out in prepared remarks, that you got that $15 million lower. That was impressive, and I don't recall you calling out bad debt before. So A, kind of what was happening in the fourth quarter? And then, B, how does that play into the SG&A consideration in 2020?
Jessica Graziano: Sure. So that $15 million is actually, you can break that down, there's about 10 of that 15 is just better bad debt expense experience, right, doing better on collections, the DSO coming down, just the actual bad debt activity that we had this quarter versus last year. $5 million of the $15 million is actually a change. We had a change in the accounting standard for revenue that moved $5 million out of G&A and actually moved it up contra revenue, right? So that's actually a burden in OER.
Operator: Our next question comes from the line of Steven Ramsey from Thompson Research.
Steven Ramsey: I wanted to talk on upstream, longer term, some of the stuff your control, I know, but if and when upstream picks up again, rigs are active would you move fleet back in to take advantage or doesn't the last set months change your perspective permanently on how you manage fleet in upstream areas.
Matthew Flannery: I think we were -- believe it or not, we were a little more cautious of how much we moved in this last up cycle from the 1 previously. If you remember, this used to be 10% of our business. We made -- I think we're almost 11%. We managed it down to about 5%. I think you'll see us come with that same caution again. And it's not that the business full cycle isn't profitable. It's just -- if we don't need to, it's just a little too variable. So it will depend on what's going on in the other markets if it's a place where we need to put latent demand, well then, that makes all sense in the world. But if you're talking about how you make your choices between each 1 of these cyclical challenges of upstream, and that volatility certainly informs how much bigger we're going in next time. But to be clear, also, it is still profitable business throughout the cycle. So it's not something we would eliminate altogether, but we would look to optimize existing capacity first and foremost. And even if we're pushing the limit a little bit there rather than growing new resources side.
Steven Ramsey: Great. And then just thinking about -- if I understand what you're saying, nonrental CapEx. Should we expect that to continue moving up based on cold starts, digital investments, et cetera, even though rental Capex, you're being more disciplined on that line.
Matthew Flannery: No, not really. When we're talking about investments, we're not just talking CapEx. We're talking about -- and that's why we really talk about. So maybe the word investment, it's not the -- not a balance sheet form of investment, but investing into the cost that -- with a fixed cost and the additional cost that we have to support more text for our service business or to build out the shops to do more work or trainers for safety training. Those are the service business we're talking about where we're investing more cost into. As far as the hard asset capital investments, yes, there will always be some incremental to cold-starts, you need to put new trucks in there. You need to do some of that stuff. But that's not anything extraordinary that we would call out.
Operator: This does conclude the question-and-answer session of today. I'd like to hand the program back to Mr. Flannery for any further remarks. .
Matthew Flannery: Thank you, operator, and thanks to everyone for joining us today. And just a reminder that our Q4 investor deck and 2020 guidance are available online. And as always, you can reach out to Ted with questions here in Stanford. So thanks, and we look forward to our next call. Operator, go ahead and end the call, please.
Operator: Thank you. And thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.